Operator: Greetings and welcome to the Calix Second Quarter 2018 Earnings Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tom Dings, Director of Investor Relations. Thank you, sir. You may begin.
Tom Dings: Thank you, operator and good afternoon everyone. Thank you for joining our Q2 2018 earnings conference call. Today on the call, we have President and CEO, Carl Russo; as well as Chief Financial Officer, Cory Sindelar. As a reminder, this afternoon, we released our Letter to Stockholders and an 8-K filing as well as on the Investor Relations section of the Calix website. This letter to stockholders is in lieu of any prepared remarks and this call will consist of the question-and-answer only. The conference call will be available for audio replay in the Investors Relations section of the Calix website. Before we turn the call over to the operator to start the question-and-answer session, we want to remind you that in this call, we refer to forward-looking statements, which include all statements we make about our future financial and operating performance, growth strategy and market outlook, and actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trends to differ materially are set forth in today's Letter to Stockholders and in our annual and quarterly reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements, which speak only as of their respective dates. Also on this conference call, we will discuss both GAAP and non-GAAP financial measures. Reconciliation of GAAP to non-GAAP measures is included in our Letter to Stockholders. With that, operator, please open the call up for questions.
Operator: Thank you sir. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Christian Schwab with Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Great. When would -- if we look at to the reiteration of the $600 million revenue target. At what point are we going to start a quarterly revenue march towards that? And kind of been at the same level for a while. Can you walk us through the puts and takes? And a little bit more clarity, if you have any -- when you would expect to be on that trajectory?
Carl Russo: Christian, thanks for the question. So, let me start by just asking you to pause for a moment and I'd like to go back over and frame up your question by going back over what we just achieved in the last quarter. So, last quarter at this time, I said, look, if we work really hard, we might have a shot at making it to breakeven. And I'm pleased to say that the team, with excellent execution, actually we made $0.01. So, we're back to making a profit. This was driven by disciplined OpEx investment, gross margin expansion, and delivered revenue growth. That delivered revenue growth, by the way, came while we also worked through what are now industry-wide component shortages. And all of this, came with an expanding TAM that allowed us to go and close record numbers of new customers, and we continue to do so. So, the reason I frame up your question that way with that start, is to say that coming off of last year with some of the changes and challenges that happened in the industry, along with our largest customers, I think you're starting to see this march begin right now. And so sequentially, Q2 over Q1, you saw a revenue step-up, significant gross profit expansion. Q3 over Q2, we expect to step-up modestly. And then, in my view, I think, you're going to see a larger step up in Q4 over Q3. By the way that pattern is the historical pattern that we've seen as a company in our space. So, Q2 takes a big step over Q1, Q3 takes a smaller step and then Q4 takes another large step, then seasonality takes you down in Q1, and we continue up from there. So, the direct answer to your question is, I believe you're seeing it right now as we go forward.
Christian Schwab: Great. That's all I have today. Thank you.
Carl Russo: Christian, thanks.
Operator: [Operator Instructions] Our next question is from Meta Marshall with Morgan Stanley. Please go ahead.
Meta Marshall: Great. Thanks guys. I wanted to dive a little bit into, kind of, any traction that you're seeing on the new Infosys partnership. And then second, if you could just, kind of, talk about what you're seeing in the market as far as CAF2 buildouts? And just are there any building going on towards the end of this year that you think could help the second half? Or milestones that you think might drive kind of the pop back up and service revenue in 2019?
Carl Russo: So, let me start with the last one, first. From a services revenue, you remember from last quarter, we continue to hung and align our services offerings with our all-platform model. There's obviously been significant improvement in the gross margin performance of the services organization quarter-over-quarter and continuously over the last three quarters. And so all of that added together is that's going to be a controlled part of our services revenues and I don't expect there to be any pop backup, so to speak. Secondly, as people have asked questions around general industry and some slowness in the first half versus picking up in the second half. I think we've been clear about the second half, we expect to continue to improve across our customer base, including our largest customers. But in addition to that, we've also said that we don't expect the second half to improve so much that it makes up for what was a depressed first quarter. So, we expected to continue to improve but quite linearly in that fashion, so I trust that answers your second question. As far as Infosys' traction, to take you back to that announcement, obviously, we're very excited by the Co-Creation partnership and to the extent that there was traction, it's actually traction in building the offerings. The offerings are not yet in the market. So, there's certainly no traction from a revenue standpoint, unless there was something that you were asking differently from that. So, Meta does that answer your question?
Meta Marshall: Yes. No, that answers the question. I guess, I have thought, maybe sometimes customer might use Infosys to kind of buildout -- in a buildout, features and personality that they were looking for, and so maybe that had started versus Infosys kind of going out into the market and being more promotional.
Carl Russo: Well, let me just -- let me make sure I'm doing a good job of repeating and refreshing for everyone, the Infosys Co-Creation partnership. So, it structured to build product offerings that we would take to the market. That separate from Infosys' business that they already have with service providers where they could chose to help customers do further things with deployments or AXOS. So, the Co-Creation partnership was focused on creating software components that go into AXOS that we would take to market.
Meta Marshall: Okay, that's helpful. And then maybe just last question for me and then I'll pass it on. On the services, it did kind of pop-up in this last quarter and understanding that -- just getting a sense is that, were consulting services and that's why kind of carried higher margins. Is that some of the cost corrections that were made or business evolutions that were made? Just kind of something that explains the better margins and revenue in the services business would be helpful.
Carl Russo: Well, so the better margins are driven by really two factors and I think we've been consistent on this. One is the continued improvement in execution by the services team on existing contracts and the range of our services. So ,that's the first thing that's having in it, and then the second thing that's driving it is, as we've also discussed, our Calix crowd, AXOS and now EXOS platforms, also have attend maintenance stream that go along with them that go into the services margins. So, as you watch the future unfolding you're going to see services margins continue to move up, irrespective of other factors. Now, I would just merely caution you use the word popped up. That's probably not a bad word to use, because in any given quarter, services and permits might be flattish, but we've made it clear that inexorably, we believe, those margins will head towards in the near-term, the 30% to 40% gross margin model.
Meta Marshall: Got it. Perfect, that's helpful. Thanks. I'll pass it on.
Carl Russo: Thanks Meta.
Operator: [Operator Instructions] Our next question comes from Tim Savageaux with Northland Capital Markets. Please go ahead.
Carl Russo: Hey Tim.
Tim Savageaux: Hey good afternoon and congrats on the -- your earlier than expected profitability and congrats to the call operator for just the most wonderful pronunciation of my name in recent history. Couple of questions here. I guess, the first one, you mentioned what kind of revenue trends and the year-over-year comparisons. What's been pretty consistent here through the year, really within a point or two is despite declining revenue, increasing gross profit dollars, I think you're, kind of, right in the high teens for the first three quarters of the year depending on where you assume for Q4 -- sorry, for Q3 in terms of the guide. My question is, do you think that's a sustainable trend for the year? Something approaching 20% growth and gross profit dollars understanding that the revenue comparison is impacted by the service revenue last year?
Carl Russo: I haven't done it in gross profit dollars. I'd have to needle that. So, let me think about that for a moment. What was our gross profit dollar on a non-GAAP basis last year?
Cory Sindelar: I've got $176 million.
Carl Russo: $176 million is that right?
Cory Sindelar: That's my model so that could be really tragically wrong.
Unidentified Company Representative: Yes, $172.9 million.
Carl Russo: So, $173 million. And you're looking for, in essence of, $34 million to sort of $210 million on gross profit? Is that what you're asking?
Tim Savageaux: Well, I'm observing that through the first three quarters based on some of my math here, you've had around 20% increase in gross profit dollars. I guess my question -- maybe otherwise stated, do you expect gross margins to continue to trend upward? In Q4 along with whatever magnitude of revenue increase, revenue step-up that you're looking for.
Carl Russo: Yes, let me see if I can put these referring odd numbers. So, let me see if I can put the numbers for you here. So, directly stated, can we get to $210 million in gross profit? Yes.
Tim Savageaux: Right. We can move onto the next question then.
Carl Russo: No, I want to stay on the other pieces, for a moment. Because those four metrics that we will continually emphasize, I believe are going to be roughly continuous quarter in and quarter out save seasonality. Now some quarters, they might be slightly down or up, but I expect gross margins to just continuously expand and what drives that is the software value in our platforms, in Calix Cloud, in AXOS and now EXOS. And that software value is extraordinarily high differentiable value to our customers. And as we simply do more and more of that business, I don't know what stops the gross margin expansion in the long-term. I want to be careful that in any given quarter, we got to be careful about that. But let's just take an example, Tim, so let me give you a direct example. We shipped a significant amount of revenue to Verizon in this quarter, as we have had in other quarters, and I think the old saw about the industry is, if you're shipping a significant amount of revenue to Tier 1, your margins must be going down. Well, they didn't. So, there's significant value in what we are doing and as long as we stay focused on expanding our TAM and delivering our platforms, I think the margin just continues to go up. Now, let's be careful, because to your point, in this incremental quarter, if you do the math, we delivered some, I don't know, $12 million, $12.5 million of incremental revenue and what $9 million of incremental gross profit. That's like 70% -- what 73% incremental gross margin. I want to make sure I caution you that those gross margin improvements are coming from not only the improved systems software mix, but they're also coming from the increased performance by the services team and some other things that we're working on from cost reductions, but directionally, your statement is correct. So, I was sorry for all the words but contextually, I think you've got the direction exactly right.
Tim Savageaux: No, that was very interesting. And the Verizon comment, sort of, leads to my next question. I don't, if it's in the shareholder letter here, but I did want to ask about 10% customers and customer concentration. In the quarter and maybe as part of that, the overall puts and takes and kind of a flat to up guide Q2 to Q3 in terms of what might be having inflowing there?
Carl Russo: Okay, so let's--
Tim Savageaux: Either our customer category or international or what have you?
Carl Russo: Yes, so let me directly address the caution on the revenue side. The caution on the revenue side is an extension of what we struggled a little bit within Q2. But we don't see that challenge going away and we're going to make some additional investments in inventory to deal with it, but there is a worldwide shortage of components that run straight through our product sets. Especially those product sets that are more subscriber edge premises oriented. And so that's the piece that we're grappling with. As directly to your question, I mentioned significant, so there's -- these old words material is, sort of, like 10% or greater, significant is less than that. So, we made a significant letter shipments to our large Tier 1 that we've talked about. In addition, we had one 10% customer and really, the only thing that's changing with our traditional 10% customer is frankly visibility is slowly but surely improving. We've talked about in the past, they have new capital allocation processes internally that we're seeing the folks inside of the company now, start to understand how to work and so we're just seeing more consistency from that customer, as they work, I think, to finalize their AXOS strategy. And so it's a directionally the same as we have indicated before and we're excited by what we see happening there. Does that help?
Tim Savageaux: It does. And last question for me. What I was able I think find is I want to make sure this is comparable and I'm looking at it right, was new AXOS customer metric I believe was 50 in the quarter? I think that compares to 37 last quarter and with that as a starting point, I wonder if you can address kind of overall growth trends among the, kind of, Tier 3 customer base, smaller operators? And I'll leave it there.
Carl Russo: So, let me -- I want to -- I'm glad you're picking that out. But I want to make sure that I don't leave you hanging in the breeze with the wrong conclusion. So, let me separate a couple of things. On the 50 AXOS customers, it's specifically speaking to more than 50, actually, took delivery on AXOS on the E7-2, which is specifically on the GPON functionality in it. So, we have more than 50 customers are now running AXOS on the E7-2, the E7-2 being probably the most widely deployed AXOS system in North America and performing GPON functions. That's what that's referring to. As for 37, which you're referring to actually was last quarter, we opened 37 new customers. This quarter, we opened 29 and I mentioned at the start that TAM expansion, the fact that we have platforms that allow us to address all different segments, was just allowing us to open new accounts at a record pace. So, they're really two different numbers. Does that help?
Tim Savageaux: Yes, got it. Thanks. I'll pass it on.
CarlRusso: Great. Tim, thank you.
Operator: [Operator Instructions] Gentlemen, there are no further questions registered at this time. I would like to turn the floor back over to Mr. Tom Dings for closing comments. Thank you.
Tom Dings: Thank you, operator. Once again, thank you to everyone on this call and on the webcast for your interest in Calix, and thank you for joining us today. This concludes our conference call. Goodbye for now.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a pleasant day.